: Western Union Co. (NYSE:WU) Q1 2008 Earnings Call  April 22, 2008 8:30 am ET 
Executives: Gary Kohn – VP IR Christina Gold – President, CEO Scott Scheirman – CFO, EVP
Analysts: Liz Grausam – Goldman Sachs Charlie Murphy – Morgan Stanley James Kissane – Bear Stearns Franco Turrinelli – William Blair & Company Austin [Roo] – DLH Capital Bryan Keane – Credit Suisse Craig Maurer – Calyon Securities Patrick Burton – Citigroup Greg Smith – Merrill Lynch Glenn Greene – Oppenheimer & Co. Bob Napoli – Piper Jaffray Tien-Tsin Huang – J.P. Morgan 
Operator:  Good day ladies and gentlemen and welcome to the Q1 2008 Western Union Company earnings conference call. (Operator instructions). I would now like to turn the presentation over to your host for today’s conference, Mr. Gary Kohn, Vice President of Investor Relations, please proceed sir.
Gary Kohn:  Thanks Heather. Good morning everybody and welcome to the Western Union first quarter 2008 conference call, thanks for joining us today. As we mentioned in our press release announcing earnings, we have prepared slides to accompany this conference call and webcast. These slides are available at westernunion.com under the investor tab. The slides will be available after the call for your convenience and reference.  Before turning the call over to Christina, I will take a moment to remind you that today’s call is being recorded and that our comments include forward looking statements. I ask that you refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission, including the 2007 Form 10K for additional information concerning factors that could cause actual results to differ materially from the forward looking statements. During the call, we will discuss items that do not conform to generally accepted accounting principles.  We have reconciled those measures to GAAP measures on our website westernunion.com under the investor relations section. All statements made by Western Union officers on this call are the property of the Western Union Company and subject to copyright protection. Other than the replay, Western Union does not authorize and disclaims responsibility for any recording, replay or distribution of any transcription of this call.  Also, before turning the call over to Christina, I have a save the date announcement. Western Union is planning to host an investor day which will focus on our strategy in New York City on the morning of June 20th. There will be more details coming soon. With that it is my great pleasure to introduce our President and CEO, Christina Gold.
Christina Gold:  Thank you Gary and good morning everyone. As you have seen this morning, Western Union posted a strong first quarter and we are off to a great start in 2008. Revenue in the first quarter was up 12% or 9% excluding the $33 million benefit from Euro translation. This is our fourth consecutive quarter of accelerating organic revenue growth. Once again we have strong growth in our consumer to consumer segment with revenue and transactions up 14%. This performance was driven by 19% increases in revenue and transactions in our international C to C business which represents two-thirds of our total revenue. The parity in the international revenue and transaction growth rates resulted from the strength of the Euro and from consistent pricing activity.  This is as tight as the spread has been in 17 quarters. The fastest growing part of our business, the subset of international transactions that originates outside of the United States grew revenue and transactions 28% and 29% respectively. This subset represented more than 50% of total revenue in the quarter. In Mexico our strategy of leveraging our three brands, expanding distribution and conducting outreach to the community continues to drive results. We achieved positive revenue and transaction growth in our Mexico business in this quarter marking the third consecutive quarter of revenue growth rate improvement. And with a stable pricing environment, our transaction growth rates outpaced those reported by Banco de Mexico.  Our consumer to business segment continues to grow revenue on the strength of Pago Facil and the demand for electronic bill payments in the United States. Earnings per share excluding the $24 million of restructuring expenses was $0.29 representing a 16% increase over the same quarter last year. Reported EPS was $0.27, an increase of 8%. I am very pleased with this first quarter as is the entire management team. In this quarter one can really see the strength of our business. Looking out over the next three to five years and even longer term, we believe that Western Union is well positioned to build shareholder value. Our confidence in the future is built upon, first, our leading position in the huge and growing money transfer markets.  The money transfer remittance market is estimated to be $369 billion and continues to grow on average 8% annually. Our remittance principles has consistently grown over 20% annually. Second our strong Western Union brand, recognized worldwide. Third, our unmatched distribution network of 345,000 agent locations and of course our financial strength which enables us to grow the business profitably. In our results, one can clearly see the impact of worldwide migration trends as well as a our return on investments in the brand and agent locations.  In India, the world’s largest inbound remittance country, our revenue grew by 52% on transaction growth of 65%. In China, the second largest inbound remittance country, revenue growth of 35% was well ahead of transaction growth of 22%. These markets, the world’s top two remittance receive markets continues to perform very well and now represent 6% of Western Union revenue. We benefit from migration trends not only in nascent markets like China and India, but also in mature markets.  For example, in the UK, where we have been established for nearly 20 years, first quarter transactions grew 29%. In January, we articulated our four key priorities for the business. Our first priority is to grow the C to C business, specifically to maintain the strong momentum in the international business, deliver modest growth in Mexico and stabilize the domestic business. We are well on our way to accomplish this. One of the keys in the first quarter was to continue expanding our global footprint. New and existing agents chose Western Union because of our network, brand and financial strength. In all we added 10,000 agent locations in the quarter and have a network totaling 345,000 agent locations. Of particular note in the quarter, we signed Bank Pekao, Poland’s largest bank which operates nearly 900 branches.  This is particularly significant because Pekao has been offering competitor’s money transfer services but they have decided to offer only Western Union services in the future. We are also excited to be reopening in South Africa after a multiyear absence. We just signed an agreement to offering inbound and outbound money transfers with Absa, one of the country’s largest financial services organization and a member of Barclays Group. In the US, we will be rolling out 1,700 additional Rite Aid locations in the former Brooks/Eckerd stores over the next 12 months. This will give us 4,500 Rite Aid locations. We are well underway with our Vigo expansion plans.  We are applying for licenses in various European countries and remain on track to further expand in Italy and to open in Spain, Ireland and the UK throughout 2008. On the brand front, we are evolving our brand strategy to ensure it continues to be relevant to our global consumer. Our updated strategy focuses on how we help people who are on the move in pursuit of their dreams and how in doing so we help grow economies around the world. We look forward to sharing more on our brand strategy during our June investor conference. Enhancing our relationship with the customer and reinforcing our brand is an ongoing effort for us. One of the most well known customer loyalty programs is the Western Union gold card.  In the first quarter we added 200,000 customers to the program for a total of 9.7 million members spanning 65 countries. This loyalty program provides us insights on the customer behavior and we use this information for targeted marketing activities and to help us to find future financial service offerings. To increase convenience and to expand distribution channels, we recently launched westernunion.com in Italy. Our international dot-com transactions, those that originate outside of the United States grew over 40% in the quarter.  The US dot-com business was impacted by the security issues related to the card not present transaction. The card no present issues impacted domestic C to C transaction growth rates by about 100 basis points in the quarter. The issues arose late in the first quarter last year so as we move through 2008, our growth rates will be less affected. In April, we completed the roll in in Canada of our new collaborative offering with Scotia Bank. This offering gives us access to a new customer base, the online customer of one of Canada’s largest banks who are now originating Western Union transactions from the bank’s website. While the service is still ramping up, we are already seeing interest and transaction activity.  The average principle sent by our Scotia customer is twice that of our walk in business indicating that the offering is attracting new customers with different needs. Our second priority is to expand our C to B business to other countries through joint ventures, acquisitions and Pago Facil expansion. In addition, on the C to B innovation front, we will increase the number and variety of bill payment options. As we look to globalize the C to B business, we will be rolling out Pago Facil to Peru in the second half of this year with other Latin American countries to follow.  We are also reviewing interesting pipeline potential international bill payment acquisitions. In terms of new offerings, we are piloting our cross border bill payment service in 24 states aimed at the increasing needs that small businesses have to make payments to overseas suppliers. By going to globalbusinesspayments.com, a small business person with the need to pay overseas suppliers can conduct the entire transaction from his or her computer without leaving the office, store or house. We offer a compelling value proposition for the convenience, speed, reliability and safety of the transaction.  Our bill payment offering through Yodlee is progressing nicely and we expect to make several announcements soon. This offering leverages our brand and 4,000 US biller relationships to make online bill payment more convenient. We are excited about the opportunity to extend our brand to a new customer, the online bank customer with the need to have bill payments posted immediately. Our third priority is to drive innovation by developing new services and technologies. We are pleased to report that we have successfully tested the prototype for mobile money transfers.  We are on track to go live with a customer pilot in the second quarter with our partners, Smart Communications and Globe Telecom in the Philippines. In the pilot we will be testing price points that as a percent of the remitted principle are in line with our core walk in service. We remain confident that this new offering is going to bring new customers to the Western Union brand. Additionally, we have a US based mobile transfer test with Radio Shack and Trumpet Mobile.  Recently Radio Shack rolled out this offering to its 4,300 locations. The early learnings confirm that mobile money transfer will be a three to five year opportunity and may be more suited to an adjacent customer, those with the need to send low principle highly frequent transactions. Mobile money transfer is offered through an M-wallet which an operator must make available to the user. Currently the number of mobile operators offering M-wallets is limited. In May I will be in Cairo where the GSM association will hold a summit devoted specifically to mobile money topics.  I will be the keynote speaker at this conference and meeting with many of the mobile operators who expressed interest in working with Western Union. Also on the new product front, we recently launched a micro-lending pilot. While we are still in the early stages we are encouraged to see migrants who are well established in the new country trust Western Union for services beyond traditional money transfers. These 12-18 month installment loans are being marketed to select Western Union customers through a direct marketing campaign.  As a reminder, we are not assuming the credit risk on the loans and are partnering with Prime Credit Limited in Hong Kong, a subsidiary of Standard Chartered Bank. Our fourth priority is focusing on profitability. It is important to emphasize that operating income margin improvement is an ongoing objective for Western Union and we have as a goal margin improvement of up to 50 basis points in 2009. We expect to achieve this by leveraging our cost structure and identifying additional cost savings initiatives. With that said we will not forego important investments in the business for compliance, competitive issues or investments for growth.  To improve our profitability, we recently implemented some restructuring plans which Scott will detail in a few minutes. On a personal note, these restructuring decisions are difficult to make as our employees are an important part of our business and we understand that these actions affect them in significant ways. On the whole, we are all pleased and I am personally pleased with the first quarter. The first quarter bears witness to the fact that despite the challenging economic environment, our customers are finding and moving for new employment opportunities and continuing to make money transfers.  The power of being global is that Western Union has a presence in virtually every important cross border market in the world. We have a world class brand and global distribution but it is the energy and hard work of our people and agents that make the organization complete. I have great confidence in this team and our ability to achieve the goals we have set for ourselves and Western Union shareholders in 2008 and beyond. With that said, I would like now to turn over to Scott Scheriman, our CFO who will discuss our first quarter financial performance and 2008 outlook in greater detail. Scott.
Scott Scheirman:  Thank you Christina. Our strong first quarter results are driven by Western Union’s geographic diverse revenue stream, strong brand, extensive global distribution and our ability to serve our customer’s ever growing need to transfer money. Just last month I had the opportunity to attend our Asia Pacific agent conference in Bangkok and to tour the international markets where I met with many agents and employees. I continue to be optimistic about the tremendous international growth opportunities.  On this trip I toured two markets, the United Arab Emirates and India where there are great market opportunities. For example, UAE has slightly fewer than 1 million citizens but well over 4 million ex patriots who are employed in the oil, service, construction and other industries. In fact, the UAE is home to 16% of the world’s large construction cranes. And just the Gulf areas have nearly 14 million ex patriots. While there I visited a Western Union location that is conveniently located close to where many ex patriots live. This one location alone does over 25,000 transactions per month. With our 345,000 locations, the strength of our brand, I firmly believe Western Union is well positioned, not just in the UAE but also in every major corridor around the globe.  Revenue for the first quarter grew 12% to $1.27 billion or 9% excluding $33 million from the translation of the Euro. Transaction fee revenue which makes up over 80% of company revenue grew 10%, reflecting consistent transaction and pricing trends in both the money transfer and bill payment businesses. For 2008, we continue to expect C to C price decreases to be approximately 3% of total Western Union revenue. Foreign exchange revenue which is generated from the difference between the exchange rate we make available to our customers and the rate at which we or our agents are able to acquire foreign currencies grew 26%.  Foreign exchange revenue is 17% of total company revenue and is driven by our international business. Our first quarter operating income margin was 24.4% as reported or 26.3% excluding the $24 million of restructuring expenses. Last year’s first quarter operating margin was 26.9%. For year over year comparative purposes, the following items impacted our margins: the restructuring expenses and product mix shifts within our C to B businesses. Accordingly, our operating income margin was in line with our expectations for the quarter. We continue to expect full year 2008 operating income margin excluding the total of $69 million in restructuring expenses to be consistent with last year’s margin of 27%.  Also consistent with our historical pattern, we expect operating income margin excluding restructuring expenses in the second half of this year will be higher than the first half of the year. In the first quarter, we executed restructuring actions that will improve profitability and resulted in $24 million in restructuring expense. The $24 million was comprised of two components: $17 million from the decision to close our facilities in Texas and Missouri and to transition the operations to existing facilities outside the US as well as to third party providers.  This is part of the $60 million related to the facility closures we announced on March 20th. And in separate actions, $7 million related to the elimination or relocation of possessions to our Costa Rica operating center and to third party providers. In January we told you that we expected $5 million in restructuring expense, however in February we identified additional positions to be eliminated or relocated which resulted in an additional $2 million of expense. Of the $24 million, $22 million was included in costs of services and $2 million was included in SG&A. The restructuring expenses were not allocated to the operating segments.  For the full year 2008, we expect to have a total of $69 million of restructuring expenses from these actions which includes $60 million from the Texas and Missouri facility closure and $9 million from the positions we identified in the first quarter. We recognized $7 million of this in the first quarter and will recognize the additional $2 million in the second quarter. As a result of these initiatives, we expect to achieve expense savings of approximately $10 million this year and over $30 million annually in 2009 and beyond.  And while it is too early to provide specific items for 2009, we expect that these savings and other initiatives will enable us to deliver operating income margin expansion of up to 50 basis points in 2009. It is also important to note that we have transition plans in place to continue to provide strong service to our customers and agents. Currently the Texas and Missouri operations handle our settlement functions, about 20% of our domestic customer calls and none of our international customer calls. On a personal note, I want to echo what Christina said, these decisions impact our employees lives and we do not take them lightly. Cost of services grew 17% in the quarter and was 60% of first quarter revenue. Excluding $22 million of restructuring expenses, cost of services grew 14% and was 58% of revenue.  Growth in costs of services which is primarily agent commissions is attributable to the faster growing international C to C business and the mix shift in the C to B segment. SG&A in the quarter grew 10% excluding $2 million of restructuring expense, SG&A grew 9%. The tax rate in the quarter was 29.2% compared to 31.5% in the first quarter of 2007. As expected, the tax rate in the first quarter was lower primarily as a result of increased foreign derived profits which are taxed at lower rates compared to US derived profits. And within our foreign derived profits, a higher proportion of those earned in lower tax jurisdictions.  We’ll continue to expect a full year tax rate of 29%. We earned $0.29 per share in the first quarter excluding the restructuring expenses, an increase of 16% or $0.27 per share as reported an increase of 8%. We continue to generate strong cash flows. Cash flows from operations was $318 million in the first quarter and has us well on our way towards our goal of $1.2 billion of cash flows in 2008. We finished the quarter with cash and cash equivalents of $1.9 billion or our balance sheet. Our cash flow generation combined with our significant cash balances gives us great flexibility in executing our business plan.  Moreover, our business does not require significant capital for day to day operations. In fact, total capital expenditures for 2008 are projected to be less than $200 million. In the first quarter, capital expenditures were $23 million. So in combining our high cash balances, our ongoing cash flow generation against relatively low capital expenditures, we have the ability to invest back into business while still returning immediate value to our shareholders through stock repurchases. In the first quarter we bought back 14 million shares for $297 million at an average price of $21.41.  Since being public, we have repurchased over $1 billion of our stock. At quarter end we had $956 million remaining for purchases under our current Board authorization. Taking a deeper look at some of the highlights for the quarter, our C to C segment which is over 80% of total revenue had revenue and transaction growth of 14% in the first quarter driven by the strength of our international business. Operating income increased 15% and operating margin was 25.9% which is up 10 basis points compared to last year’s first quarter operating margin of 25.8%.  Our total international consumer to consumer business grew revenue and transactions by 19% during the first quarter. The subset of our international C to C business, those transactions that originate outside the US and total more than 50% of Western Union’s revenue and 80% of total international C to C revenue grew revenue 28% and transactions 29% in the first quarter. Operating income margin for the international business was higher than the first quarter 2007 and remained strong in the mid 20’s. In our Mexico business, first quarter revenue growth was 1% on transaction growth of 2%. Revenue and transaction growth continue to converge as we have anniversaried the price reductions we made in the first quarter of 2007.  Our domestic business which represents 10% of total Western Union revenue showed declines as expected of 8% and 3% in revenue and transactions respectively. On the revenue line, this is a sequential improvement over the last four quarters. Also since pricing has been stable for a year now, the different between revenue and transaction growth rates has narrowed to about 500 basis points. The consumer to business segment which represents 15% of our total revenue grew revenue 4% during the first quarter on transaction growth of 3%.  As you will recall, we have anniversaried our Pago Facil acquisition so these growth rates are organic. Operating income was down 8% and this quarter’s operating margin of 29.6% was consistent with the last two quarters. Last year’s first quarter margin was 33.4%, the operating profit and margin were impacted by the ongoing product mix shift from the cash bill payment services to electronic. For 2008, our revenue, cash flow from operations and capital expenditures guidance is unchanged from what we’ve provided in January. Revenue growth is expected to be 9-11%, we expect to generate cash flow from operations of $1.2 billion and we expect our capital expenditures to be less than $200 million.  We expect earnings per share to be in the range of $1.25 to $1.29 excluding $69 million of restructuring expenses which is equivalent to $0.06 per share. This range also includes the anticipated cost savings of $0.01 per share achieved from the 2008 restructuring activity. This is a growth of 11% to 14% from last year’s non-GAAP earnings per share of $1.13. On a GAAP basis, we expect earnings per share in the range of $1.19 to $1.23 including the $0.06 impact from the $69 million of restructuring expenses and a $0.01 benefit from the $10 million in estimated cost savings from the 2008 restructuring activities.  For clarity, our previous GAAP guidance for 2008 earnings per share was a range of $1.24 to $1.28 and included $5 million or less than $0.005 per share in operating expense. That amount is now being included in the $69 million of total restructuring as we’ve decided to treat all the restructuring expenses together given their size. The first quarter was strong on the top and bottom lines. In particular, we again saw the strength of our international business in driving revenue and earnings.  We also took some important cost saving actions in the first quarter that will help improve our margins in 2009. Margin expansion is an important objective for Western Union. In 2008 we expect to generate strong cash flows which gives us the flexibility to execute against our stated priorities for the use of cash. These priorities are to grow the business, make acquisitions and return capital to shareholders, primarily through stock buyback. In summary, we had a great start to the year, we are confident in the state of the business and our 2008 objectives and we are well positioned in the global markets. Heather, with that we are now ready to take the questions.
Operator:  (Operator instructions). Your first question comes from the line of Liz Grausam with Goldman Sachs, please proceed.
Liz Grausam – Goldman Sachs: Great, thanks. I wanted to touch on the margin goals that you outlined for 2009, with 50 basis points of expansion now in your plans. The first time we’ve heard from you a commitment to margin expansion in the business but it sounds like it’s fairly focused within the restructuring initiative that you laid out, could you help us understand your perspective on the inherent or natural margin expansion available in this network as a result of your brand strength and network breadth in this industry and when we may see really the kind of natural leverage in this business to start to reemerge and if that’s contingent on really the US recovering in any time period.
Christina Gold:  Thanks Liz, I would just say a couple of things here then I’ll pass it on to Scott but I think that even as you look at the C to C business in the first quarter you saw a margin expansion by 10 basis points so we are already starting to see the impact of that international positioning and growth of that network and the strength and really the size of international as it relates to our business.  As we look to our target for 09, 50 basis points is really looking at the restructuring we’re doing and the commitment to give that back to shareholders but it doesn’t preclude what we’re already seeing in the business as we look at leveraging just the size of the brand and the scope of the business. And Scott I don’t know if you wanted to put a little more on that.
Scott Scheirman:  Yeah, what I would add to that Liz is that there’s a number of avenues for margin expansion and management is very focused on improving our margins up to 50 basis points in 2009. Some of those items that will be helpful as we move towards margin expansion is our international margins we continue to gain scale there, leveraging our global footprint, the first quarter 08 margins were better than the first quarter 07 margins and those are running in the mid 20’s and we continue to see margin expansion opportunities there.  We took some actions in the first quarter, some restructuring actions and we’ll continue to make sure we have the most effective and efficient cost structure as a global company. There’s opportunities to continue to improve the profitability of Vigo. We’ve taken actions there in 07 and continued to drive to improve the profitability of Vigo. And then as Christina mentioned is really an opportunity to optimize our investments, whether it’s marketing or pricing to ensure that each dollar of investment we even get a better and better return as we put those investments out there. So, we continue to see a road map to drive strong margins and improving margins up to 50 basis points in 2009.
Liz Grausam – Goldman Sachs: And could you give us a sense of the scope of what you would consider your investment budget to support your mobile initiatives, micro-lending initiatives, a lot of new business lines, business to business that you’re getting into, I mean is that a substantial amount, expense account that you have running through your P&L now and when do you expect to start seeing at least some returns on those investments from a revenue standpoint?
Christina Gold:  I would not say its substantial, I think it’s part of our total overall marketing budget. And I don’t think as we’ve talked about, mobile, that’s a three to five year horizon, so we don’t see that really having a great impact on the top or the bottom line at this point. We really are in a learning phase at this point, so we are investing to make sure we have the right technology and the right marketing to attract customers and drive both the lending and the mobile, but it’s early days yet and as we see more and learn more, we’ll certainly share all that information with you.
Liz Grausam – Goldman Sachs: Great, thank you.
Operator:  Your next question is from the line of Charlie Murphy with Morgan Stanley, please proceed. 
Charlie Murphy – Morgan Stanley:  Thank you, Christina and Scott I was wondering if we could discuss the potential for lowering agent commissions particularly in domestic and Mexico business, how do you think about that? Is there the potential to do that and if you could just discuss that, that would be great.
Christina Gold:  I think as we look at agent commissions around the world, it’s pretty stable. One of the things that we have focused on in the last period of time is looking at the receive markets of the world because there is a differential in international and we have been able to reduce some of the commission rates as we have resigned agents, clearly because they have seen the value of the brand, they now have a much larger business, a much larger scale and so it’s much more complex negotiations.  So there’s opportunities there, it’s something that we’re always looking at and as we always say, we look for opportunity but we also are very conscious of the profitability of our deals, making sure that it is good for the company and good for the agent. So we feel it’s very balanced, we’re focused on it but you know it’s not something that is going to change dramatically overnight.
Charlie Murphy – Morgan Stanley:  Okay, great and as a quick follow up, Scott I was wondering if we could get the percent of revenue from the internationally originated C to C transactions.
Scott Scheirman:  Excluding the US outbound Charlie on that?
Charlie Murphy – Morgan Stanley:  If possible, I think you gave it last quarter.
Scott Scheirman:  It’s a little bit over 50%. It’s over half our business. And then the international, the 19% revenue transaction growth, that’s about two-thirds or 67-68% of our revenues.
Charlie Murphy – Morgan Stanley:  Okay, thanks very much.
Operator:  Your next question comes from the line of James Kissane with Bear Stearns, please proceed.
James Kissane – Bear Stearns: Thanks and great job guys. Just going back to Charlie’s question on agent commissions, can you just talk generally about the competitive environment and the trends in agent commissions over time as well as the trends in signing bonuses?
Christina Gold:  I think what we would say, it’s pretty stable, it’s been consistent. I think we have seen from some competitors in the US, you know willing to take a pretty aggressive stand in terms of what they want to pay and we’ve not been willing to go to that extent. Clearly also there’s a lot of competitive nature in our Vigo agent relationship so that’s a different part of our model which we really don’t discuss a lot but we also look at that and we have different commission rates there. But I would say Jim that it’s pretty stable really, except for a few anomalies in the United States that we’ve seen.
James Kissane – Bear Stearns: Just given some of the issues around some of your competitors, are you seeing the behavior change out there at all?
Christina Gold:  I don’t see it in terms of pricing and how the business moves, no we don’t see it. I think in terms of holding onto the network they have, yes we have seen it.
James Kissane – Bear Stearns: Okay great and Scott, cap ex declined a fair amount in the first quarter, you know some of the factors maybe driving the decline.
Scott Scheirman:  You know it’s just some of that is just you know I described as timing Jim. You know our full year outlook is still less than $200 million of capital expenditures and we’ve got great cash flows, you know $1.2 billion to invest in our business and to buy back stock but I would just point out its timing more than anything.
James Kissane – Bear Stearns: And then one last question, this westernunion.com in the United States, is it fixed or is it just going to remain fairly subdued here?
Christina Gold:  It’s getting better. I think what we’re doing is we’re actually working with some outside assistance in terms of looking at the technology and looking at the process to make it much more customer friendly. So we can do the transactions and all of that but it’s not as simple and robust as it was prior to our issues. So that’s in the process of going through a major overhaul.
James Kissane – Bear Stearns: Okay, great, thank you.
Operator:  Your next question is from the line of Franco Turrinelli with William Blair & Company, please proceed.
Franco Turrinelli – William Blair & Company: Good morning, a couple of questions for you if I may on the margins and I just wanted to make sure that my recollection is correct. I think in the past we’ve discussed the fact that the international businesses have had lower margins because of the different super agent and agent structure and I was kind of wondering if as the international continues to outpace the domestic growth, I mean the fact that you’re proposing to increase margins is in fact a stronger operation performance given the margin going against you.
Christina Gold:  I think as we see our margins in our international business as we gain scale and also we’ve done negotiations on agent commissions, we’ve seen that margin expansion so that it is in the mid 20s and actually first quarter international margins were stronger than first quarter internationals last year. So we are leveraging that. We’re also leveraging the cost structure because we build the infrastructure in the countries and now as we gain scale, so we obviously as we went through some of the very rough time in 06 when we had that very, you know drop in the US and then the very high surgance of international that had a real tough impact on our margins but over time we see our margins really lining up in a more consistent pattern and Scott you know can give you a little more color on that.
Scott Scheirman:  Yeah, Frank it’s continuing in the international business, those are mid 20 margins, those have been improving and it’s our ability to leverage our scale and our global footprint as we built presence in Asia Pacific, built presence in Europe, Asia, Eastern Europe and so forth, so we’re leveraging that scale in able to affectively drive more dollars to the bottom line as we do that.
Franco Turrinelli – William Blair & Company: One other question for you Scott, on the consumer to business side, can you, I remember the product mix shift but can you give us or maybe remind us of some of the factors that are affecting margins there and where should we expect that to kind of stabilize out?
Scott Scheirman:  The margins this quarter were right at 30% and that’s been consistent with the last couple of quarters if you look at the latter half of 2007. What’s driving that mix shift is we have a very successful Pago Facil business, it’s been a very good acquisition, it does run lower margins and our US based business, the electronic part of that is growing faster and it has slightly lower margins too.  The cash based business is not growing as quickly with higher margins and some of that there is a shift from cash based payments to electronic based payments. You know our view on the margins is we continue to expect to have strong margins there in 2008 you know relatively consistent with what we’ve seen in the first quarter and what we’ve seen in the last couple quarters too.
Franco Turrinelli – William Blair & Company: Were any of the restructuring initiatives, will any of those affect the margins of the consumer to business segment or are they essentially all C to C focused?
Scott Scheirman:  They’re primarily C to C but there are some things that we’ve done that will be helpful to the consumer to business segment too.
Franco Turrinelli – William Blair & Company: Great, thank you.
Operator:  Your next question is from the line of Austin [Roo] with DLH Capital, please proceed.
Austin [Roo] – DLH Capital:  Good morning. You noted that revenue included a $33 million benefit from currency translation of the Euro. I wondered what the total currency translation benefit was?
Scott Scheirman:  You know, this is Scott, we have not provided that historically. I will share with you that you know when you look at foreign currency translation, Euro’s the biggest part of the foreign currency translation that we have.
Austin [Roo] – DLH Capital:  Okay and I would assume that given some of your costs are in those currencies that the margin benefit or the EBIT benefit is less than that $33 million?
Scott Scheirman:  Yeah the EBIT benefit would be less than the $33 million, yeah, significantly less than the $33 million.
Austin [Roo] – DLH Capital:  Okay, just one last question on the margin then I have one other on the currency I mean, if, would the international margins have been better year over year if not for the currency?
Scott Scheirman:  Well where I’ll leave it is that the international margins were better on a year over year basis. You know from a revenue line you know the international business had 19% revenue growth, the Euro impacted that about 400 basis points so it’s still very strong growth from an international standpoint.
Austin [Roo] – DLH Capital:  Okay and then just last question, on aggregate value of dollars transferred in the C to C side, what were those in the first quarter?
Scott Scheirman:  You know we haven’t provided that today but when we file the 10Q we’ll make sure to include that.
Austin [Roo] – DLH Capital:  Okay, thanks very much.
Operator:  Your next question is from the line of Bryan Keane with Credit Suisse, please proceed.
Bryan Keane – Credit Suisse: Hi, good morning, I was just hoping to get some color on India and China, the two largest inbound remittance quarters, can you give us some updated positives and also some challenges in each of those two countries?
Christina Gold:  Well obviously in India we’re very excited about the progress there with revenues up 52%. We have a location counts well over 50,000 locations in India. We have a very strong team, we continue to work on the network expansion, the brand awareness is well over 75%. So clearly we feel very confident about our position in the world’s largest remittance market. And also having signed with Bharti Airtel to work on a mobile solution as well, I think we’re extremely well positioned in that market.  So we really don’t see challenges, we see opportunities and that is very much the case with China as well with revenues of over 35% in the quarter, we continue to grow that business with strong locations of over 25,000 great agent partners. So you know and great teams in both countries. So we don’t see them as challenging, we see them as opportunities. They now represent both countries 6% of our business and continue to grow very, very aggressively. 
Bryan Keane – Credit Suisse: Yeah, no, they’ve been growing great I was just curious to know if there was anything that you were working on to try to continue to improve those areas.
Christina Gold:  I think it just keeps accelerating every quarter and you think of the number of years we’ve been in the market, we just get stronger and stronger, so we’re delighted to see the progress.
Scott Scheirman:  Yeah and I would add, I had the opportunity to visit both India and the UAE, there’s a major corridor from the UAE to India, there about a month ago and just the energy of our agents, the excitement of our employees and there’s just a lot of opportunity for growth there.
Bryan Keane – Credit Suisse: Your market share continues to gain in those two countries, what’s the main competition when you’re looking at those corridors, they’re obviously huge in size but you guys are just scratching the surface, who are you competing with there?
Christina Gold:  I think you know when you look at both markets it’s very interesting because there’s many, many small competitors. Obviously you have banks but what you really see in these two markets is the traditional, what we call the [Howalla] business, which is almost maybe about 50% more on top of what we are already seeing in terms of remittances. Like in India, $27 billion, it’s probably more like $37 or $40 billion once we count sort of the underground. And that’s really the biggest competitor that we have. And as we look at both markets, both governments are very much interested in bringing all of the transfers into the formal channels. And with our top notch state of the art compliance systems, this gives us a tremendous competitive advantage.
Bryan Keane – Credit Suisse: Okay and then just lastly turning to mobile payments, what type of competition do you guys expect to see there, more or less from your kind of current business there?
Christina Gold:  You know I think it’s a very different customer and what we see in our testing in the US and it’s people that are really sending small amounts rather than like let’s say a $400-$500 transaction, it’s $50.00. So it’s quite different, I think we’ll see a lot of different players in the space. But with our arrangement with GSM it’s really given us a head start and we see tremendous demand by the mobile carriers and I look forward to my trip to Egypt next month to really talk about what countries are next and where we can continue to expand our mobile footprint.
Bryan Keane – Credit Suisse: Do most of your gold card members have cell phones, do you know?
Christina Gold:  Some do, some don’t. I think it’s a large percentage because if you look at our customers, it’s very interesting, there’s certain things they have and they don’t have, but the mobile, even in India and China is becoming very much a piece of technology that many people have.
Bryan Keane – Credit Suisse: Okay, thanks a lot and congratulations on the quarter.
Operator:  Your next question is from the line of Craig Maurer with Calyon, please proceed.
Craig Maurer – Calyon Securities:  Some morning. Two questions for you, one, to follow up on the China question, I was wondering if we should expect to see any sort of one time movement in numbers, whether it’s surrounding additional marketing campaigns or any projected short term additional growth in transactions around the Olympics.
Christina Gold:  You know I think as we look back to the time in Greece when we had the Olympics there we did some promotions and programs specifically targeted against travelers that were there that might need funds but we don’t see a major uplift but it’s an opportunity to create more brand awareness of Western Union to all of the visitors that come in from all over the world and just show the presence that we have in China.
Craig Maurer – Calyon Securities:  Okay and I was wondering if I could get your perspective on the actions being proposed by the Department of Homeland Security when it comes to non matching social security numbers at the employers.
Christina Gold:  You know this has been a situation for our customers in terms of immigration and some of the issues we face that we really felt the brunt of that in 2006. I think you know it’s important to remember too that over 70% of our customers have bank accounts and are well established in this country. But I think that as these things have evolved over the last 12-18 months, we’ve kind of worked our way through some of these issues and we’re moving forward and our customers are moving forward, we see our transactions now you know starting to come to a more positive position in terms of revenue. We’re outpacing the Banco de Mexico, so we feel confident that this is behind us and we’re moving forward. And our strategy in terms of outreach and communication with our consumer is really the winning strategy for us.
Craig Maurer – Calyon Securities:  Okay, thank you.
Operator:  Your next question comes from the line of Patrick Burton with Citigroup, please proceed.
Patrick Burton – Citigroup: Hi, good morning and congratulations on the quarter as well. My question is on the restructuring, was the $69 million of expenses, over some period of time would you expect the cost savings to actually be greater than the $30 million in 09 since you do mention more than $30 million in the press release.
Scott Scheirman: You know, clearly that’s our goal is to drive as much savings as possible but still providing the right service and the right efficiency in our operations but we’ll continue to focus on that, we will incur $69 million and our best view right now is that 2009 annually will have savings of over $30 million, but we’ll try to work that hard.
Patrick Burton – Citigroup: Am I misreading then that you’re cutting out $69 million of expenses or is that what it’s costing you to go through the severance.
Scott Scheirman: Yeah the $69 million is the cost of the restructuring so that’s severance, there’s some fixed assets, some leaseholds I’ve got to write off and then there’s some expense of training we want to do to make sure we’ve got a smooth transition and a solid plan there which we have. So the $69 million is the cost of the restructuring, that’s what we’ll incur.
Patrick Burton – Citigroup: Okay and there is new training costs and things like that imbedded in the number.
Scott Scheirman: Absolutely.
Patrick Burton – Citigroup: Okay, thank you very much.
Operator:  Your next question is from the line of Greg Smith with Merrill Lynch, please proceed.
Greg Smith – Merrill Lynch: Yeah, hi, good morning. I don’t think I saw or did you say that Mexico as a percentage of total revenues?
Christina Gold:  We didn’t say but it continues to be about 7% of our revenues, so India and China are now at 6, so they’re almost equal. And it probably will surpass.
Greg Smith – Merrill Lynch: Some rounding maybe we’ll get there next quarter?
Christina Gold:  Yeah, we’ll work on it.
Greg Smith – Merrill Lynch: And then in the US to Mexico quarter are you seeing competitors retrenching and actually shutting down branches?
Christina Gold:  You know we’re seeing a lot of different activity, we have seen some of that because of obviously the issues in the business. We see a stable environment as it relates to the pricing and also to the spreads, it’s pretty stable. Some of the things that we’re also seeing is we’re seeing movement of customers to different parts of the country and even to Canada we’re seeing very strong growth to Mexico and Canada was up 58%. Canada to Mexico, so our customers are on the move and if they can’t find a job in one city they’ll move to another or to another country.
Greg Smith – Merrill Lynch: Great, any idea where that Canada to Mexico was say two years ago or a year ago offhand?
Christina Gold:  It wasn’t 58%.
Greg Smith – Merrill Lynch: And then in the domestic C to C business, obviously you have the dot-com weighing you down some but outside of that, is sort of dragging on growth, is it more you know I think I ask this a lot, but is it a secular trend, people just using alternative methods more or is it just more just the same issue at immigrants effecting you.
Christina Gold:  I think that particular business has been impacted the most in terms of what we look at in terms of the economy right now and housing and construction. But also what we have done is we are doing some things right now in terms of investing in our loyalty programs and also doing some media in that particular segment. But we have focused more of our investments in the high growth markets because we recognize that there are some issues in this market. We don’t expect a big turnaround in 2008, it’s going to be pretty consistent, a little bit better, stabilizing that business but that business longer term, we don’t see it as growing more than 3-5%, so this is not going to be a big driver of growth. So therefore we focus our resources on the growth engines of the company.
Greg Smith – Merrill Lynch: Yup, great, okay, thank you.
Operator:  Next question is from the line of Glenn Greene with Oppenheimer, please proceed.
Glenn Greene – Oppenheimer & Co.:  Thank you, good morning. A couple questions on international, I was wondering if you could talk about the convergence of the transaction of revenue growth of 19% sort of been converging for the last couple quarters and actually sort of got to parity this quarter. Is it an anomaly or is this kind of sustainable going forward?
Christina Gold:  You know it’s great to see, we’re delighted to see that. The spreads of the transaction revenue, I mean obviously we got a little bit of a lift from the Euro but I think the other thing is what we’re seeing is our brand and our network and the pricing is relatively stable so we’re not seeing a lot of movement on that front and we said about 3%, so I think that this is something that we hope going forward would stay within that particular range. Because the power of the brand and the stability of the pricing.
Glenn Greene – Oppenheimer & Co.:  You did sort of affirm the 3% price hit for the year but all in for the quarter, not only the international but all in you look pretty flat. So does that suggest sort of things will get somewhat worse in the back three quarters of the year or sort of being conservative at this point?
Christina Gold:  I think when we look at any year you never know what’s coming so what we try to do is look at it as all of the quarters that we have 15-20,000 corridors, our plans are set at the beginning of the year so this is what the team has put together for 08 so we fell it’ll be around 3%. It’s not, it’s really a question of timing and it’s a question of [semis] on spreads and things like that but we feel very comfortable that we’re in a stable sort of steady as we go environment.
Glenn Greene – Oppenheimer & Co.:  And that portion of international that was originated outside the US, that 50% of revenue that grew in the high 20’s, you know that obviously accelerated this quarter, is that largely driven by India China or some other dynamic there?
Christina Gold:  You know it’s driven by the whole world because we have such a great network, not at 345,000 locations but India and China are growing but remember they’re only 6% of our revenues, so it’s really all elements of the business are functioning well. As I said earlier, the UK is up 29%, we see our Middle Eastern business from the UAE with the growth that’s going on there, because we have such a strong brand and such a strong network we’re getting fired up and powered all over the world and our teams are on the ground making sure that we capture that business in every part of the globe.
Glenn Greene – Oppenheimer & Co.:  And then just finally, how meaningful do you think South Africa will be to your results this year?
Christina Gold:  I think in 08 it will not really be a substantial amount because that will be rolling that out later in the year, it’s a very careful rollout in terms of what we need to do with the government there and the regulators there so I think that will grow as we get into 09 but in 08 I think it’s not really a meaningful number. But it’s great news for us.
Glenn Greene – Oppenheimer & Co.:  Okay, thanks very much.
Operator:  Next question comes from the line of Bob Napoli with Piper Jaffray, please proceed.
Bob Napoli – Piper Jaffray: Thank you, good morning. A couple questions left. The mobile business, the mobile money transfer business Christina, as you dig into this more, is this looking in your opinion more of a threat to your business model or an opportunity to add onto your business model? There are a lot of ways this could go over the next several years and it’s very difficult to come up with the right answer from my perspective.
Christina Gold:  I really don’t see it as a threat, I think one of the reasons why we wanted to get involved at the start of this is because this is an opportunity. We are the money movers of the world so we wanted to connect with the mobile carriers. What we’ve seen in test is it is a different customer, so that’s an incrementality to us. So you know it’s a question of like looking at the dynamics in terms of the profitability and this is a high volume business. So the volume will give us the profitability and then it’s a question of making sure that we can make the costs of doing these transactions you know very efficient.  So I think it’s terrific. The other thing is that in some countries we don’t do inter-country transactions, so let’s say India or China, we don’t do transactions around India or around China, we can only go into India. This now gives us the door to intra-country which we don’t have an so that to me is a whole new incremental business because if you think of the domestic US business which is about 10% of our business, imagine what that would mean in India or China, how big that could be for us. So to me this is, it’s all a win-win, it’s a question of learning and working with the carriers to really make this work for our business.
Bob Napoli – Piper Jaffray: Great, thank you, that’s very helpful. The price, your goal I think over the long term, part of your model has been a 3% price decrease and I mean we see some global inflation maybe and as your pricing has come down over the last couple of years, do you still see that 3% price decrease or are you starting to look more like prices will flatten out?
Christina Gold:  Well one of the things that we’re working on very diligently right now is really looking at our value proposition, so some of it is looking at the pricing and saying what are we going to add in from royalties so that price is not the solution for everything as we look at the competition. But it’s also using Vigo and our other brands more effectively. You know we’re moving Vigo into Europe so now we will have a different brand to lever for other customers that are more price sensitive, so that will give us a balancing act that we can really manage our business more effectively.  So it’s really, the pricing strategy is not just about Western Union, but it’s taking our three brands and looking at how do we maximize the opportunity in each customer segment and make it work so that we gain share of business but maintain a good solid profitability level.
Bob Napoli – Piper Jaffray: Great, then last question, obviously one of your big competitors has had some serious problems, I’m just wondering if you’re seeing any benefits from the competitive shakeup and challenges that your competitor has?
Christina Gold:  You know I think as an industry you never like to see that happen in an industry because it always doesn’t reflect well on anyone in an industry because it does make people concerned. But I think from our perspective we’ve always been very competitive looking at not only the opportunities for customers and pricing but also for the network. And this quarter we added Bank Pekao which is the largest bank in Poland to our network which was a take away from competitors. So I think there are some opportunities there that we will continue to explore.
Bob Napoli – Piper Jaffray: Thank you for taking the questions and nice quarter.
Gary Kohn:  Heather at this point we have time for one more question please.
Operator:  Your next question is from the line of Tien-Tsin Huang with J.P. Morgan, please proceed.
Tien-Tsin Huang – J.P. Morgan: Thanks, good morning and nice quarter as well. A few questions, first on C to C foreign exchange revenues which were up sharply I think at 26%, should we expect that trend to continue, it looks like it’s well above that of international revenue growth and transaction growth.
Scott Scheirman:  Yeah, I would say that trend is really factored into our guidance of the 9-11% on a full year basis and that’ll be one component of our revenue growth for 2008.
Tien-Tsin Huang – J.P. Morgan: Is that trend driven beyond what we’re seeing in terms of currency dynamics?
Scott Scheirman:  Well there’s a little bit of currency dynamic in there but, and you said it earlier, it’s really tied to our international, we had tremendous international growth in this quarter and so as we’ve had international growth that also drives the foreign currency.
Tien-Tsin Huang – J.P. Morgan: Okay, very good and then in domestic and Mexico C to C, what kind of average ticket trends and how is this impacting the spread between revenue and transaction growth?
Scott Scheirman:  I think you’re referring to principle per transaction is what you’re looking for? On an overall global basis we’re seeing our principle per transaction up slightly, so consumers are sending a little bit more money. We’re seeing that in Mexico too. In our domestic business the principle per transaction is just down slightly, but on a global basis it’s up.
Tien-Tsin Huang – J.P. Morgan: Okay, very good and then lastly just to clarify the 50 BPs in margin expansion in 08, is that limited to 09 or can we expect some expansion beyond that? Meaning beyond fiscal 09 because I heard a lot of commentary about C to B getting better and commissions et cetera, so and then in the past you’ve talked about margins being relatively flat, so is there any reason to think that we can expect margin expansion starting in 010 and beyond?
Scott Scheirman:  What I’ll share with you, management is very focused on profitability and expanding our margins and in 2009 we’ve got the objective of you know after a 50 basis points increase, so we’re going to be very focused on driving profitability and improving profitability as we move forward, but our line of sight right now is through 2009 and that’s the objective of up to 50 basis points in 2009.
Tien-Tsin Huang – J.P. Morgan: Great, very good, thanks again.
Christina Gold:  I just wanted to take this opportunity to thank you all for joining us this morning. We are very excited about the quarter but more importantly we’re excited about 2008 and what we see before us. We’re very confident in the year and in terms of what we can achieve and our customers are also very resilient in making sure that they’re moving around the globe, sending money home and really helping to drive our business. And a thank you to all of our agents and to our employees for a great quarter and I look forward to seeing all of you in June at our conference. Thank you very much.
Operator:  Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the presentation, you may now disconnect, have a great day.